Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Flex LNG Q1 2020 earnings presentation and investor day conference call. At this time, all participants are in a listen only. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Thursday, 28th of May 2020. I'd now like to hand the conference over to your first speaker today, Oystein Kalleklev. Thank you. Please go ahead.
Oystein Kalleklev: Thank you, Marian. Welcome to the 2020 first-quarter results presentation for Flex LNG. My name is Oystein Kalleklev, and I'm the CEO of Flex LNG management. Together with our CFO, Harald Gurvin, I will guide you through today's presentation. A replay of the webcast will also be available@flexlng.com. Flex LNG is a shipping company focused on the growing market for seaborne transportation of liquefied natural gas, LNG, and we are listed both at Oslo and New York Stock Exchange under the ticker FLNG. So, first, a disclaimer with regards to, among other, forward-looking statements and completeness of details. The full disclosure is available in the presentation, and we recommend that the presentation is read together with the interim financial report and our annual report, which are all available at our website. So, let's summarize the highlights today. First of all, I am pleased to say that we delivered time charter equivalent or TCE earnings for our ships at approximately $68,000 per day, which is in line with our guidance of close to $70,000 per day. Given the seasonal softening of the market in first quarter and the outbreak of the novel coronavirus, we are satisfied with the trading results for the quarter. TCE of $68,000 per day translates into revenues and adjusted EBITDA of 38.2 and 27.8 million for the quarter. During the first quarter, interest rate levels around the world plummeted due to the adverse economic consequences of the COVID-19 pandemic. This resulted in us booking a noncash unrealized mark-to-market loss of approximately 22 million for our portfolio of interest rate swaps. Our portfolio of swaps at the end of the quarter consisted of $485 million hedged for around five years at about 1.5% fixed interest rate. We have so far hedged the interest rate risk for about 50% of our bank loans so keep in mind that lower interest rates means that our financial expenses will be lower going forward as the other half of the loans have floating interest rates, which is today close to zero. Hence, adjusted for noncash unrealized items, our adjusted net income was 9.3 million for the quarter. This represents clean earnings of about $0.17 per share compared to $0.41 in adjusted profit per share in the fourth quarter of 2019 when we made $94,000 per day in TCE. Market condition have, so far in 2020, been challenging. We have seen the warmest winter on record in the Northern Hemisphere where most gas is consumed. And this, coupled with the coronavirus outbreak, have depressed the price of natural gas worldwide. The pandemic have also adversely affected our ability to carry out crew changes. This means a lot of seafarers have stayed on ships away from their families for a prolonged period of time. So, we would like to extend a special thank you to our crew, which have done a fantastic job making sure that our ships have been able to trade without any interruptions and serious incidents during this difficult period. Given the fallout from the COVID-19, we are expecting lower trading results in the second quarter. We have so far booked about 97% of our second quarter and expect a TCE of close to $50,000, which is in line with our current cash breakeven levels. Given the uncertainty with regards to COVID-19 and the low gas prices, which -- with resulting shut-ins of cargoes, we expect that the market in third quarter also will be challenging. Given the high inventory levels in Europe and the contango in gas prices, we think it's probable that the freight market will firm up again once we are approaching autumn. Consequently, the board has decided to suspend the dividend and instead focus on preserving cash. Suspending the dividend has not been an easy decision to make but given our lackluster stock price, we think it's advisable to keep our substantial cash position to ensure that investors and financiers have full confidence in our ability to perform also in tough market conditions like this. In that regard, we are, therefore, very pleased to announce that we have agreed a new bank loan of $125 million for Flex Volunteer, as well as a sale-leaseback transaction of $156.4 million for Flex Amber. Hence, in total, 281 million of new financings in place. We have previously said that we would fast track the financing of the last two new building given the level of uncertainty, and now we have delivered on this. With these financing, the 281 million of new loans and a 629 million ECA financing signed in February, we have thus secured about 910 million of financing, which represents, on average, 130 million of financing for each of these seven new buildings. 910 million also matched very well with a $937 million of remaining CapEx for the seven new buildings to be delivered over the next 12 months. This leaves us with a net unfunded CapEx of only 27 million compared to a cash balance of 121 million at quarter-end. With this financing, we are very confident that we have a very robust capital structure. We have attractive long-term financing in place for all tour line ships and not a single loan maturity prior to July 2024. Long-term financings are also coupled with the newest, most efficient fleet of ships, which gives substantial -- which, given the substantial equity invested in the company, have an industry low cash breakeven, which will be reduced to around $45,000 per day once all ships are delivered. As mentioned in the highlights, in COVID-19 has also affected our business and operations. In such a difficult time, we are pleased to say that we have a very capable organization that have been able to run our ships with 100% uptime and no delays despite these challenges. In order to mitigate the situation, we have minimized ship visits. Only critical external ship visits have been allowed, and this relates to piloting, vetting and service or repairs if needed. We have also been able to utilize video conference tools for the remote ship visits. This includes the first ever remote change of management conducted by classification society, ABS, for the Flex Courageous on March 27. Five of our ships are now under the in-house ship management company, and we are planning for the transfer of the last ship but this has been slightly delayed due to the situation. Onshore, we have established a COVID task force, which meets every morning. This group consists of key personnel who are in constant dialogue with our ships to assess the situation and assist if needed. We have closely monitored our crew for any symptoms, and we are glad to say we have not had any of our crew or onshore personnel testing positive for COVID-19. However, minimizing visits to ships also means that crew rotation have been practically impossible for some time now. This has resulted in prolonged state for crew away from their families, and we have, therefore, been working in close cooperation with relevant bodies to find practical ways of allowing such crew rotations. We are pleased that we are now finally seeing gradual improvements in relation to crew changes, and we have so far been able to do limited crew rotation on one of our ships and are planning now for the other ships. We also have new buildings for delivery in the second half of the year with sea trials and mobilization and officers for these ships have gone through quarantine in South Korea at arrival before conducting such trice. There have also been reported delays of ships in dry dock due to the coronavirus. But as our fleet consists of brand-new ships, we do not have any dry dockings planned prior to 2023 and others not affected by these issues. OK. Then, Harald, will give us an update on the recent financings, as well as financial numbers before I will be back with some info on the market.
Harald Gurvin: Thank you, Oystein. As mentioned, we are pleased to announce that we have agreed two new financings, totaling 281 million post quarter end, and adjust the range financing for all seven new buildings under construction. The first facility is 125 million term loan and a revolving credit facility for the financing of Flex Volunteer, which is scheduled for delivery in the first-quarter 2021. The five-year facility has a repayment profile of 20 years, in line with our other bank facilities and will be split into 100 million term loan and a 25 million revolving facility. We have already entered into interest rate swaps for the full amount of the facility, giving an attractive all-in pricing, including margin of 3.3% per annum. The second financing is a 156 million, 10-year sale and leaseback transaction with an Asian-based leasing house for the new building Flex Amber, which is scheduled for delivery in the third-quarter 2020. The transaction will be priced at LIBOR plus a margin of 3.2% per annum and has an 18-year repayment profile. We will have annual repurchase options commencing on the first anniversary and there is a purchase obligation at the end of the 10-year lease period of 69.5 million. Flex Amber is included under the 629 million ECA facility entered into in February this year. And we intend to utilize the swap option under this facility to replace Flex Amber with the sister vessel Flex Vigilant, which is the final of our new building scheduled for delivery in the second-quarter 2021. Both financing remains subject to final documentation and customary closing additions and are expected to be drawn upon delivery of the relevant vessels from the shipyard. We have been active on the financing side in the last two years, arranging a total of 1.7 billion of attractive financing for our fleet of 13 latest-generation LNG carriers. At the same time, we have diversified our funding base with a mix of bank financing, lease financing and ECA financing, and have also expanded our relationship with some of the leading international financing providers. Having access to several sources of funding is important in the current market and demonstrates our ability to raise finance at attractive terms in an environment where many struggle to raise finance at all. Upon execution of the two latest financings, we will have less than 30 million in net remaining CapEx against a cash position of 121 million at quarter-end. The 629 million ECA facility for five of the new buildings also includes an accordion option of up to 10 million per vessel, subject long-term employment acceptable to the banks. Following these transactions, we will have a very comfortable debt maturity profile with the first maturity due in July 2024. The staggered debt maturity profile also mitigates any refinancing risk. Moving on to the income statement. Revenues for the quarter came in at 38.2 million, down from 52 million in the previous quarter. The reduction was due to a softer market in line with the seasonal pattern. Adjusted EBITDA for the quarter was 27.8 million, down from 41.6 million in the previous quarter. The result for the first quarter includes a noncash unrealized loss on interest rate swaps of approximately 22 million. At quarter end, we had interest rate swap totaling 485 million at an average interest rate of approximately 1.5%, and the noncash mark-to-market loss was a result of the sharp fall in long-term interest rates during the quarter. All our interest rate swaps relate to financing agreements, and we are not required to post any cash collateral under the agreements when the mark-to-market is negative. We also recorded a noncash foreign exchange loss on cash deposits held in Norwegian kroner of 2.3 million in the quarter due to the substantial weakening of the Norwegian kroner against the US dollar in the quarter. Net loss for the quarter was 14.9 million. Adjusted for the above noncash items, adjusted net income was 9.3 million or $0.17 per share. Then moving on to our balance sheet as per March 31. We had a solid liquidity position of 121 million for quarter-end. Our assets consist of six vessels on the water with an aggregate book value of approximately 1.1 billion at quarter end. In addition, we have booked vessel purchase prepayment of 349 million relating to the seven new buildings under construction, which represents the advanced payments on these. Total debt at quarter end was 771 million, of which approximately 36 million is due over the next 12 months and thus classified as current liabilities. Total equity as per quarter end was 819 million, giving a strong equity ratio of 50%. Looking at our cash flow for the quarter. The operational cash flow was 14 million for the first quarter. The operational cash flow for the quarter was negatively impacted by working capital adjustment mainly due to less prepaid higher following the softer market in the first quarter compared to the fourth quarter. Scheduled loan installments were 8.3 million, and in addition, we had upfront financing costs of 6.5 million in connection with the 629 million ECA facility signed in February. The dividend for the quarter of 5.4 million or $0.10 per share was paid end of March. Adjusted for the negative foreign exchange effect on cash deposits held in Norwegian kroner of 2.2 million, the cash at the end of the quarter, thus came in at 120.8 million. And with that, I hand over back to Oystein, who will give an update on the market.
Oystein Kalleklev: Thanks a lot. So, let's start on Slide 11 by doing a quick recap and a review of the spot market for LNG shipping. In line with the seasonal pattern, as mentioned, the market has been softening in the first quarter as we are coming out of the peak winter season. As we mentioned in our investor day presentation back in February, we have this winter experience yet again, mild weather with the highest ever winter temperature measured in the Northern Hemisphere, which have affected gas adversely this winter as most gas is consumed in the Northern Hemisphere. In general, we had positive news surrounding the signing of the Phase 1 trade agreement between US and China and US LNG shipments to China has resumed. However, the headlines quickly shifted to the coronavirus outbreak in Wuhan with associated pump shutdowns in China during February. The February shutdowns in China resulted in poor sentiment in both the freight and product market with JKM hitting a low of $2.7 in February. However, market turned more positive in March when China started to resume normal import levels again, and JKM bounced back 30% to $3.5 by mid-March. For the freight market, this means that we went from one way economics in February to full round trip economics in March, meaning the ship owners get paid both the laden and the ballast leg, giving TCE in line with headline TC rates. But as we all know from experience today, the coronavirus went to viral and became a global pandemic, resulting in shutdowns of all major economies. This have resulted in unprecedented low gas prices again, with European prices down to $1 while JKM have cash back to $2, which is a historically low spread toward the Henry Hub Index in the US and, thus, this has created a flex of cargo cancellation recently, which suddenly relets emerging in the freight market. The lack of demand and arbitrage means that the sentiment in the freight market has been very weak in April and May, with headline rates for modern two-stroke tonnage of around 40,000 per day with a typical one way economics. This means that the ballast leg is for the owners account, and thus, the owners are currently only able to capture 50 to 60% of the headline rates. All the uncertainty in the market has also meant that charters have tended to prefer fixing single voyages rather than longer periods. Hence, while we do see a very high level of fixtures, this is mostly due to more single voyages rather than multi-voyage or period fixtures. It is maybe not too surprising that charters, which are also mostly working from home are focusing on the next cargo rather than securing shipping for the longer-term these days. Additionally, owners have been facing stiff competition from portfolio players and traders as they have been increasingly active in the markets with relets. We do, however, now see that more charters are looking for multi-month time charters for winter coverage and most charters prefer fixed price instead of index given the low charter rates. So, there are some positive signs from this behavior. Next slide, we look at the importers. We will look at the trade flows. They totally changed in 2019 compared to 2018. In 2018, it was all about Asia, increasing its import by 30 million tonnes, driven by rapid Chinese code. In 2019, the main demand in Asia was muted due to our mild winters but also by nuclear start-ups in the largest and third largest import countries, Japan and South Korea. Due to economic slowdown following trade disputes with US, Chinese demand was also on the soft side in 2019, growing only about 7 to 8 million tonnes. So, in 2019, Europe came to the rescue, increasing its import by 33 million tonnes or close to 70% growth for what is essentially a fairly mature market. However, Europe has a lot of LNG infrastructure, which have been underutilized, as well as substantial storage capacity. This, coupled with record low gas prices and higher carbon prices have made cheap LNG very competitive in Europe with eight of the 10 largest import gainers in 2019 being European. The trend has continued this year, with most of the import gainers being European. UK is continuing its path to phasing out coal. UK just went, recently, a month without utilizing coal, which have not occurred since the industrial revolution. Portugal, which was also one of the key growth areas of LNG in 2019, also went through April without burning any coal. So, this shift can happen quickly. As recently in 2012, coal provided 40% of UK's power gen. In 2019, it was only 2%, with the country running in total 83 days without coal. Soon, coal's market share in UK will be zero. The outliers here are South Korea, which has favored burning gas instead of coal with a massive closure of -- close to half of the coal plants. When bearing in mind that COVID-19 is primarily a respiratory illness, it makes a lot of sense to switch off coal and clean up the air these days, particularly when it's free to do so, as I will illustrate later. Despite the shutdowns in India and China, these countries are also actually growing LNG imports in 2020 as LNG is gradually growing its market share despite the recent turmoil. So, let's consider the largest market by far, Asia. Here, we find the largest import markets, Japan, China, South Korea and India and a lot of growth markets in Southeast Asia. As mentioned, despite COVID-19 with associated lockdowns, China, South Korea and India have posted growth this year. Chinese growth was actually lagging 2019 levels prior to the COVID-19 lockdowns due to lower economic growth, but we have seen strong growth from March onwards. US imports have also resumed, and we expect US exports to China of about half a million tonne in May, which is close to 10% market share and the highest import level of US LNG since January 2018 prior to the trade contract really escalating. While we saw a slowdown in Indian imports in April, they are expected to bounce back to 2019 levels in May. Japan is the weak market as they have experienced prolonged lockdown and not follow the policies of South Korea where coal have been replaced to a extent by LNG imports to reduce fine dust pollution. So, let's head back to the growth market, Europe. Despite high inventory levels coming out of the winter due to unseasonable warm winter, European buyers have continued to buy LNG hand over fist in 2020. The main reason is low LNG prices stimulate demand for gas injection for storage, and we do expect that European inventory levels will approach tank tops in July, August. Furthermore, the 20% reduced capacity of French nooks will stimulate additional gas demand in France and as you can see from the graph, French imports have been very healthy. Keep in mind that onshore storage capacity for gas is very limited and way beyond the storage capacity -- way below the storage capacity for oil. Furthermore, the vast majority of storage capacity is located in the US and Europe and not in the big import nations in Asia. This means Europe is the natural swing importer and the glut of LNG has resulted in record low gas and electricity prices in Europe. Once the inventory in Europe is full, we do expect the natural way to store gas will be on ships. And coupled with the contango and gas prices, we expect another round of massive floating storage once we are approaching autumn. This should, in our view, be supportive of the freight market particularly for large modern ships with low boil-off rate, which our fleet consists entirely of. So, I've already touched upon the product market and the low prices resulting from the LNG glut. As you can see from this chart, Asian LNG prices and European gas prices have been plummeting from close to 10 and $8, respectively, at the beginning of the year to record low levels now with JKM at around $2, which is similar to Henry Hub and the Dutch European gas hub price TTF even trading below $1. This is totally unprecedented that global gas prices converge to such extent and to such low levels. We have also seen an oil price clash with West Texas intermediate crude even trading below zero level. Most LNG sold and bought are still traded on the long-term oil index link usually linked to Brent or the Japanese crude cocktail. About 70% of the LNG volumes are tied to such oil-linked contracts. Usually, LNG is priced at a slight discount to oil. Energy equivalent price is 17% of a barrel of oil for 1 million BTU of LNG. Hence, we typically see this index or slope at about 12 to 14%, i.e., a discount to the 17%. For some contracts, there is a fixed price element in the graph, the fixed price is $0.8 per million BTU. For most oil priced contracts, there is a certain measurement period, usually the average price of three months. Then there's a three-month lag before the FOB price is set. FOB price is the price at the loading location, typically a liquefaction train. Cargo to Asia typically can take up to a month to transport, so this is what we call a three-three-one structure. Three months measurement period, three months delay in pricing and then one month for delivery and, thus, the des price high the price destinations. The three-three-one formula is very tightly correlated to the custom-cleared LNG import price for oil-linked LNG contracts. Hence, we do expect that the oil price clash will start to feed into contract LNG prices once we are approaching autumn. Japan and South Korea, which is the largest and third largest import nations have historically been very well covered with contracted LNG typically also LNG, which have had destination limitations. Hence, these countries have typically not responded much to lower gas price. As they have already committed to large purchases of LNG under such contracts. With the low contract basis now, we do, however, expect to see coal-to-gas switching in this nation and possibly more spot cargo procurement. As you can also see from the graph, market participants do not expect the rock bottom prices for gas to endure, and forward prices are therefore higher, something which we call contango. And this is generally supportive of freight market due to floating storage. However, the long-term prices are now very low compared to historical prices. And this, we also think will stimulate demand. As mentioned on the previous slide, LNG is a clean fuel at cheap price. It's now actually cheaper than coal when measured against higher quality Newcastle Coal, both on a regular energy quantity measure but even more so on our efficiency measurement. Most gas plants are much more efficient than a coal plant in transforming the energy content of the feedstock to usable energy. Our gas plant typically has a terminal efficiency of 50 to 55%, while coal plants have an efficiency of only 35 to 40%. Hence, in the graph, we show this Aussie and coal adjusted efficiency which create economically switching range. However, natural gas is much cleaner than flow coal. On a CO2 basis, it's about half but even more so for health instrumental emissions like particular matters of finders, SOX and NOX. In Europe, where there is a well-organized market for carbon emissions, the switching band is just wider as carbon permits in Europe have now rebounded following the plummeting prices for such emission permits following the COVID-19 outbreak. Hence, it's maybe not a big surprise that Europe have been gobbling up so much gas lately. Yes. Review. Maybe the least interesting slide in the pack today. FID saw sanctioning of new projects with the COVID-19 pandemic, the cash and energy prices and energy companies cutting their budgets, we are seeing delays in sanctioning of new projects across the board. Last year, we experienced a record amount of projects being sanctioned, and these projects are expected to come on stream from end of 2022 to 2025. For 2020, the only project we expect to be sanctioned is the expansion by the Qataris. Their nameplate capacity is currently 77 million tonnes, second only to Australia, and with cheap feed gas and deep pockets, they have announced that they take a longer view and are targeting sanctioning now, when cost of expansion is lower than what it would be in a buoyant market for oil services. Their intended expansion is between 33 to 49 million tonnes, bringing their nameplate capacity to between 110 and 126 million tonnes and thus, putting them back on the top once production starts from 2025 onwards. When looking a bit forward, we do expect new volumes to taper off after a massive increase in production capacity the last couple of years. Given the fact we have in this period experienced a US-China trade war, two record warm winters and now a global pandemic, it might not be too surprising that the market is drowning in cheap gas, although the absolute price level has surprised everyone, including the forward market. From next year to 2023, new volumes will be fairly low before we resume with large new volumes coming to the market in 2024 onwards. This means that product prices should probably stabilize on higher and more sustainable levels, which we would expect resulting in more demand built from Asia instead of Europe, which has been acting as the zinc. Higher LNG prices and ton miles should thus be supportive of the shipping demand in a period where there will be more ships than gas molecules coming to the market. As we have explained before, there's been a large technological and efficiency leap in LNG shipping technology, the last 10 or 15 years. So, we would expect that in this period, a big chunk of the older steam vessels will be leaving the market. Steam vessels today still represent more than 40% of the fleet, and our modern ships are typically close to 50% more fuel-efficient than these ships and have a 30% larger parcel size with associated reduction in carbon footprint, which is high on the agenda for most energy companies. As I've touched upon already, in the presentation. LNG is a fast track for reduction of pollutants, not only CO2, which is the major cause of global warming. But also to a greater extent, find us a particular matter, which can cause serious respiratory problems, as well as NOX and SOX. The virus behind COVID-19 is formally known -- named SARS-COVID-19. This means severe acute respiratory syndrome, or in short, SARS. COVID-19 is a novel coronavirus and share a lot of similarities with the SARS virus from 2003. However, SARS-COVID-19 is much more potent in terms of transmission as infected people can go for an extended period of time before experience any symptoms. And for most without any symptoms at all while still being able to transmit the virus to others. While it is argued that COVID-19 is a multisystem virus, it foremost attacks the upper respiratory system and people with respiratory problems are, thus, at greater risk. With the shutdowns of economies, we have seen a remarkable improvement in local air quality, particularly nitrogen dioxide. Several studies point out strong correlation between air quality and death tolls from the virus, but some argue that more dense populated areas where there are more pollutants are also at higher risk. In any case, reducing local air pollutants bring serious health benefits, particularly at this point of time. With gas prices now being below coal switching to gas, it's a free health policy. And we do hope that more countries can take guidance from South Korea and UK, which is substituting coal for natural gas on vast scale. So, this concludes today's presentation. And to summarize, we delivered fairly good trading results despite challenging markets with TCE of approximately 68,000 per day, in line with the guidance, which is well above our cash breakeven levels of around 50,000. For Q2, we expect TCE to be closer to 50, which is still in line with cash levels. Once we take delivery of the seven remaining new buildings, which are generally financed with lower leverage and lower interest rates. We do expect cash breakeven levels to fall to closer to $45,000. But they -- which gives us industry low cash breakeven levels despite having the newest most modern fleet with earnings premiums, as well as we have evidenced today and in the past. We are also pleased to announce two new financing. This secures us attractive long-term financing of $281 million, which brings the available financing for the seven remaining new buildings to $910 million, which matched very well with the remaining CapEx of 937 million, particularly given our substantial cash position of 121 million, and this is cash that is freely available and not restricted cash in any ways. We have a brand-new fleet of the most modern large ships with efficient two stroke propulsion, which is typically the ships that charters would prefer for longer-term contracts when they are entering the market for longer-term tonnage. With first-class in-house management company, we are well positioned to benefit from rare delivery of older ships under contracts once term activity pick up again after charters recently being more preoccupied with next voyage, as illustrated earlier in the presentation. And lastly, while we are now experienced market turmoil with the COVID pandemic, the long-term fundamental outlook for the industry remain very attractive. Hence we are confident that we can deliver attractive shareholder value for the patient investor given the current implied valuation, together with our super strong capitalization and liquidity position. In times like this, these attributes enable us to navigate safely in harsh weather. So, that's it for me. I would like to thank everybody for participating, and I will put the line back to Marian for any questions.
Operator: [Operator instructions] Your first question comes from the line of Gregory Lewis from BTIG. Please ask your question.
Gregory Lewis: Yes. Thank you, and good afternoon.
Oystein Kalleklev: Good afternoon, Greg, and glad to have you coming up with the first question, as we have done in the past.
Gregory Lewis: You're too kind. Oystein, I wanted to touch a little bit on some comments you made about the potential for LNG storage in the back half of this year. We've seen and we've been hearing about the, I guess, some declines of some of the spot cargoes that are coming out of the US and really just kind of want to understand if you can provide a little bit of color, what we think is going to drive that storage just as -- on vessels. Clearly, there's not a lot of onshore storage, if any, in Asia. But that being said, it seems like some of the end users are turning away cargoes or refusing -- or delaying refusing to take them. So, just kind of wondering, is there an economic arbitrage that could be driving that in the back half of the year? Or is it really that we can't really see much shut-ins at this point? And therefore, it just is going to have to go somewhere? And just any kind of color around that, I think, would be helpful.
Oystein Kalleklev: Yeah. Thanks. I think most people have been focused on the shut-ins of cargoes in the US And of course that's because, really, basically the only place where the buyers have the optionality of shutting in and not taking delivery of cargoes for the vast majority of LNG SPAs, it's a take-or-pay. Regardless of the price, you have to take the volume. The only option you might have is to reduce the volume slightly for a period but then you have to take higher volumes later. But we actually -- we've seen shut-ins of volumes in Egypt. Egypt was resuming exports have now been shut down. We have seen Algeria doing the same because of the low price pitches. And this super expensive FLNG unit for Shell been down since February because of COVID-19issues. So, if you're thinking about the US cargoes, of course, we have massive cancellations in June 2030 cargoes and maybe 30, 40 cargoes in July. They typically have two-months' notice to do this. And if they cancel, they have to pay their tolling fee regardless. So, it's more about what kind of price do you have. So, right now with JKM, close to Henry Hub, of course, it doesn't really make sense to take the cargo and that's why you're seeing the massive cancellations. Even if you need the cargo, it's better to cancel the cargo and buy a cargo in the market. So, what we think will drive, of course, floating storage and more volumes is, of course, the price. The price needs to get up. The price is at unprecedented low levels. But if you look at the forward market, prices are rebounding, and nobody expect the prices to stay here for a very long period of time. And we've already seen the oil price bouncing back as well. So, if you look at the forward prices, once you're starting to get to September, it does -- start not making economic sense to kind of cancel the cargoes. It's better to take the cargoes. And with kind of full inventory levels in Europe, we do expect more cargoes to go to Asia, which traditionally also tend to source more gas in -- when you're getting closer the winter season. So, of course, that will drive more demand for shipping and probably more demand for floating storage as people can be buying, let's say, cheap September cargoes and takes a month to travel and then maybe float a month. And then, they can sell that September cargo into November. So, we think there will be a lot of that. This has happened last year and the year before. Economics for the project prices have been different at those point of time. But we have a contango in the market and prices will go up, and that's why we think there will be floating storage. And we do see some inquiries in the market about as well, especially the traders are trying to find ships for winter coverage because prices can -- prices per product and prices for freight can certainly move very quickly.
Gregory Lewis: OK. OK. Great. And then, just another one for me on the finances. Clearly, you guys had a successful quarter or last few months in lining up some financings. I guess it's kind of a two-part question. But as I look at -- and realizing that these are all -- still have customary closing conditions to go forward. But with all of the financings now lined up for the new builds, just running some quick math, the remaining equity contribution for these -- for the new build fleet is de minimis, looking on maybe 20, $30 million, does that provide an opportunity for Flex? And just given the outlook is challenging for the next couple of years, I mean, you kind of laid out oncoming capacity. Does this provide maybe another opportunity for Flex the kind of step on the throttle a little bit and grow the fleet? I mean, we're hearing that there are potentially some new build vessels that are potentially going to be for sale here in the coming quarters. Is there an opportunity for the company to kind of take advantage of maybe this pause in the cycle to kind of build out its fleet, just given the success you guys have had and kind of financing alpha fleet?
Oystein Kalleklev: I think for everybody who knows the kind of the gate of John Fredriksen system, they would know that we tend to be opportunistic. We're very pleased to have kind of the financings in place. We announced the ECA financing in our third-quarter presentation end of November. And then, we also then had the subject of final documentation. The final documentation was ready by February, and we announced the kind of the signing of the loan agreement in February. But just as we signed that and we had the Q4 numbers in February, people were asking me immediately, what are you going to do with the 2021 ships? And we just financed five ships for 2020. And people have been so worried about the remaining CapEx, even though it's been very low, $252 million. So, for those 2021 ships. So, we've just been fast-tracking that financing. And when you're fast-tracking financing in a period of time where the financing market is more or less shut for almost everybody. You see even the big IG investment-grade companies going to the bond market, people are growing credit lines. So, I think we have demonstrated a very good track record of raising attractive financing. We have banks that believe in us, banks like to finance kind of the new and good assets and especially with the management, which have, I think, demonstrated our ability to charter these ships out at premium rates. And then, we get into the question how much money should you have. Of course, I'm very comfortable now. We have 121 million of cash. None of the cash is restricted cash because we haven't signed any bonds that have calls on FX. We don't have any swaps calling on restricted cash flow. That's free cash. And then, with 910 secured for the 937 million of remaining CapEx, it gives us a very good liquidity situation. And I understand some of the analysts are wondering why aren't you keep paying the dividend when you have such a good liquidity situation. But I think we -- if we look at our share price, it's pretty low. And we want to make people who are investing in the company now, just make them ultra-comfortable that we will be around and we will drive, and we will have the financial resources to stay the course even if the market is a bit choppy. So, it's just kind of more value for us to have that cash and who knows, I think there will be people who will be in trouble, who have uncommitted ships because financing a shipped today uncommitted will be close to impossible. So, -- and then, of course, a lot of them put a bet on the fact they're going to have long-term contracts. But as I've shown in the graph, there's not really a lot of demand for long-term contracts. Now I think that will change once the COVID pandemic is kind of getting less attention. But this means that there will also be opportunities. We are opportunistic people. We wouldn't rule out anything. But right now, I think we are more focused on ourselves, delivering the new buildings over the next 12 months, drawing down the debt, securing more backlog and visibility. And once we have that in place, we also have a very robust capital structure to start resuming dividends.
Gregory Lewis: OK. Perfect take. Thank you very much for the time.
Oystein Kalleklev: Thanks, Greg.
Operator: All right. Thank you. And the next question comes from the line of J. Mintzmyer from Value Investor's Edge. Please ask your question.
J. Mintzmyer: Good afternoon, Oystein. Congratulations on a fantastic quarter.
Oystein Kalleklev: Hey, J. Good to hear from you again. How's Vegas?
J. Mintzmyer: Well, we're recovering. Doing what we can. But yes, considering the tough markets, it's good to see that you were able to get the 68,000 TCE.As I'm looking at your presentation, comparing it to last quarter, I noticed you don't have the fleet kind of delivery chart. I know last quarter, you said the fleet might actually be delivering early ahead of schedule. Is that no longer the case? Are we back kind of to the normal trajectory or maybe even some delays on that side?
Oystein Kalleklev: I think most of the ships, it's kind of -- we had more like option to take out ships earlier. But right now, as the market is, we don't really want to utilize the option to take ships out early. So, the next ship to be delivered will be Flex Aurora more or less on schedule. And then, of course, Flex Artemis will be delivered as scheduled in August, and she will enter a five-year, or minimum five-year contract with the Gunvor. So, we don't really expect major changes on the schedule, and that's why we are not really including it either.
J. Mintzmyer: Understandable, so back to kind of the regular schedule. On the Flex Artemis with the variable time charter to Gunvor, can you talk through that a little bit? Is there some sort of a floor structure and then like a profit sharing? Or how does that work?
Oystein Kalleklev: Yeah. It's a good question. When we wrote the press release for that time charter, we agreed on the kind of the wording because if you are a trader, you typically, you are bidding for cargoes, so FOB cargoes. And the leasing -- last thing you want is for your competitors to be able to kind of calculate your freight cost because right now, freight cost is a very substantial portion of the cargo economics. And that's why we are not sharing too much details about it because it has adverse competitive implication for our customer, which is our utmost priority. What I can say, we have had two ships on index through the last year or so. And as you can see from our TCE numbers, they are kind of supporting our premium rates. So, of course, you get100% utilization. You get to capture the headline rates. Of course, nobody really will pay you the headline rate 100% because then they can tap into the spot market. Of course, there are sometimes where the spot market doesn't have any ships available, which happened October last year. During October last year, it was impossible to get any ships because the market was sold out. But I would say it correlates very well with the headline rates. Typically, you -- that's not one fit all kind of structure. So, some contracts you could typically have without any ceiling, but without any floor. Some have with floor with profit split. Some have with floor and ceiling. So, they tend to vary. But I think they gave us a good exposure to the headline rates. And while also protecting us on the downside, both with utilization and for some of them also with the floor.
J. Mintzmyer: That makes sense. It sounds like we can model that as a normal sort of MEGI market rate with full utilization then, OK. Looking forward to your cash demands, very impressed with your refinancing for 2021. I know we talked about that last time about getting those new builds financed. I don't see any really needs for cash until -- really until 2024, right? I mean you have a very clear debt maturity profile. Large cash balance and your shares trade at an enormous discount to NAV, right? I mean you can debate the NAV, right, whether or not you use the lower current market values or more of a replacement value but maybe somewhere between $12.15 or $12.16 per share, right? And your shares are like $4. So, how do you look at -- is there any method you can take to correct that gap? I know you want to keep a strong cash balance. Is there any sort of appetite to a share repurchase or a tender offer or anything that could help close some of that gap?
Oystein Kalleklev: I think I had a call with you early March after our investor day and we did this conference call, and you were asking me a lot to what about the'21 new buildings. And I told you, okay, we are fast-tracking those financing, and I'm happy to say we were able to fast-track those in time for our report today. So, that gives us a very comfortable cash position, as you see. Even after taking delivery of those ship and generating zero cash flow from operations, you would have $100 million of cash, which is, of course, a lot more than we need. When it comes to what to do with the cash and of course, we don't have any maturity, as you said before '24. I think it's more to -- when we have such a depressing stock price. We just want to give people a comfort. If you invest in us, it's not like we are going to the market to raise any money because we already have the money. And if you are -- in 2018, kind of the investor in our company were more, I would say, growth investors. In 2019, they were value investors. And today, it's probably more deep value investors. And if you are a deep value investors, the last thing you want to do is that the company have to raise money because then your kind of position is kind of diluted. So, we just keep that in mind that the people investing in the company including our majority shareholder, John Fredriksen, with a 45% stake and management as well, we want to make sure that we can thrive in this market. And if opportunities arise, could be something to look at. There are also resales opportunities, and I think there will be more resale opportunities. Headwinds is floating a story today with some prices. I think it was said around 170 million for resale. Of course, that's a ship without any contract, without any software, without any financing. Four fleet, we have 13 new ships with financing attached, and our software in terms of management, both technical and commercially. So, our ships are much more worth than those resale. But still, the stock market is putting a discount to that. So, for us, of course, the best investment we can do is buying back the stock. But on the other hand, we also want to make sure that investors are comfortable with our financial situation. And the best way to do that is to have financing secured and a lot of cash.
J. Mintzmyer: Yeah. Definitely, I understand it's a challenging balance. And you beat me to my follow-up because I was going to ask about the resale. I heard there is a 2022 vessel for something like 170 million. So, very interesting. As an investor, we would hope that you would look at share repurchases ahead of vessels, right, if you're trading at a huge discount but we trust you to make the right choices. Thanks again for the questions and an excellent quarter.
Oystein Kalleklev: Thank you, J. Good to hear from you again.
Operator: All right. Thank you. There are no further questions at this time. Please continue.
Oystein Kalleklev: OK. That's good. And I think we are adjourned. Everything is very clear. I wish you a continued good day. And we are back with our second quarter, sometime in August. So, I wish you a pleasant day and a good weekend tomorrow. Thank you.
Operator: Thank you. That does conclude conference for today. Thank you for all participants. You may all disconnect.